Operator: Hello everyone and welcome to the NetEase 2005 Third Quarter Conference Call.  Today’s conference is being recorded.  I would now like to turn the call over to Miss Brandy Pearce.  Please go ahead.
Brandy Pearce: Thank you, operator, today you will hear from Mr. Michael Tong, Chief Operating Officer and Mr. Denny Lee, Chief Financial Officer.  After their prepared remarks we will open the call up to your questions. Before we continue please note that the discussion today will contain forward-looking statements relating to the future performance of the company and are intended to qualify for the Safe Harbor from liability as established by the US Private Securities Litigation Reform Act.  Such statements are not guarantees of future performance and are subject to certain risks, uncertainties, assumptions and other factors.  Some of these risks are beyond the company’s control and could cause actual results to differ materially from those mentioned in today’s press release and this discussion. Risks related to the fluctuations in the value of the Reminbi with respect to other currencies could also adversely affect the Company’s business and financial results.  The Company does not undertake any obligation to update this forward-looking information except as required by law.  As a reminder, this conference is being recorded.  In addition, a webcast of this conference call will be available on the NetEase corporate website at corp.netease.com. I will now turn the call over to Mr. Michael Tong, Chief Operating Officer of NetEase.  Michael?
Michael Tong: Thank you Brandy.  Hi everyone and thank you for joining us. Overall we were pleased with our progress in our Online Game and advertising businesses.  The third quarter represented a period of solid growth in our current markets and concentrated investment in the development of our next generation of products. Total revenues increased 83% year-over-year and were up 11% quarter-over-quarter.  As many of you are aware, our leading MMORPG game, Fantasy Westward Journey, continued to be the most popular game in China.  And Westward Journey Online II was able to hold on to top 3 positions in terms of number of players.  We attribute this success to our successful expansion packs and increase service capabilities we rolled out in the second and third quarters. Although we were pleased with the continued success of our games, that generated revenue growth in the third quarter, we were slightly disappointed that the summer season was slower than we expected, which we believe resulted in part from increased competition in the markets.  We do not view this as a long-term issue for the health of Online Game business or the ability for us to continue to lead this market and remain a developer of innovative and cutting edge Online Games as we roll out our 2006 next generation of MMORPG products. Our Advertising business performed extremely well, which further demonstrated the strength of the NetEase brand.  Our performance in the third quarter was partially due to the third quarter’s seasonal increase in online advertising and our accelerating popularity among our product users. In the third quarter, we witnessed strong year-over-year growth of approximately 44% and an increase of 37% quarter-over quarter.  In terms of advertising revenue the increase was mainly due to increased spending from our existing advertisers, as they increased their marketing activities during the summer months.  And also new advertisers gained during the quarter. NetEase continues to drive its advertising revenue through a combination of website content enhancement, and an aggressive focus of broadening its network of market channels and sales efforts.  We continue to deemphasize our wireless value-added services business, until we view the market as one that’s we could bring increased shareholder value to our investors. I would now provide a more detailed overview of our Online Games business for the quarter.  Total revenues for this business grew 119.4% year-over-year, driven by the continued success of Fantasy Westward Journey and Westward Journey Online II, and grew 8.4% sequentially.  As mentioned in the third quarter of 2005, Fantasy Westward Journey grew to 827,000 peak concurrent users in late summer and maintained its leadership position as one of the most popular MMORPG in China. We are very proud of this success and attributed to a number of factors, including continued content enhancement released during the third quarter, and continued efforts to expand the company’s distribution network to accept gains and distribution of point cards and enhanced sales and marketing efforts, and also online driven event which resulted in further penetration into the markets. The success of our in-house developed 2D games is not only evidence by the continued help of Chinese MMORPG market, but a true testament of the skills of our team to bring to markets in producing games that drive loyalty from our users.  We believe we have strong views in combining traditional Chinese culture and advanced gaming technology, which has always proven to be a winning combination for us.  This gives NetEase a distinct advantage over our competitors. Now turning, to our new game pipeline.  Currently both our 2.5D game and 3D game are in various stages of beta testing.  Datang, our 2.5D game is under external closed beta and Tianxia, our 3D game is under internal closed beta.  We expect the commercial launch of these games to be in the first half of 2006. As we mentioned in our earnings release, NetEase has strong brand recognition in the online game community and is known for not compromising quality for quantity.  We are taking our game portfolio to new levels and continue to focus our efforts on driving performance of our existing Online Games, which allows us to continue to invest in NetEase next generation of games. Before I turn the call over to Denny, let me first say a few words about our ProForma loss we experienced with departing of our acting CEO, Ted Sun in late September.  On behalf of William, Denny and myself in our company, we are all deeply saddened by his departure.  Ted was involved with NetEase since 1999 and was an extremely influential contributor to making our company what it is today.  With Ted’s commitment, our company was able to step-by-step executes on our strategy to become a leader in the internet market in China. Those of you that knew Ted understand he was a man of high moral commitment, dedication to the job at hand, and invested a large part of his life to our Company.  His legacy is one that we are all proud of and our management team is dedicated to carrying on his vision and further driving the Company to reach new levels of success.  Regarding the announcement of Ted’s successor, we will update you on who we choose for the role of our CEO position once the Board of Directors has reached a decision. Now I would like to turn the call over to Denny, who will go into more detail on the financials for the third quarter.
Denny Lee: Thank you Michael, and thank you for those kind words.  I will now provide a financial overview of the third quarter.  Total revenues for the third quarter were US$57.2 million.  This represents strong year-over-year growth of 82.6% and a sequential quarterly increase of 11% driven by our Online Games and advertising business. We report another solid quarter of net profits which reached US$32.0 million or US$0.89 per diluted ADS in the third quarter.  This represents 137.2% increase over the corresponding period in 2004. Revenues from our Online Game services increased to US$46.1 million.  This represents a significant year-over-year increase of 119% and an 8.4% increase over last quarter. Revenues from Advertising services for the third quarter were US$9.1 million, representing a strong year-over-year increase of 43.8% as new advertisers continued to be attracted to our large base of loyal users.  We reported total revenues for our Wireless Value Added Services segment of US$2 million for the third quarter compared to US$2.4 million in the preceding quarter. Overall gross profit for the third quarter was US$45.8 million, a 95.4% year-over-year increase and a 13.5% increase over last quarter.  Due to the higher bandwidth costs incurred in the quarter, our gross margin for Online Game declined slightly to 89.7% to the third quarter. Gross margins in our Advertising Services business improved in the third quarter due to increased economy of scale.  Gross margins for Wireless Value Added and others decreased to 11.3% in the third quarter from 18.4% in the prior quarter, mainly due to the charges associated with our services with emails, free emails which are included in this segment. Total operating expenses for the quarter were US$11.7 million, representing a 17.4% increase over the corresponding period a year ago and an 18.3% sequential increase over last quarter.  Due mainly to marketing costs associated with web content enhancement and increased outdoor advertising and channel events. Our effective tax rate increased in the third quarter mainly because of the write-back of the tax provision of approximately US$2 million in the second quarter due to the confirmation of a lower tax rate for one of the Company’s operating subsidiaries during the second quarter.  There was not such similar write-back in the third quarter of 2005. Moving to the balance sheet, as of 30 September 2005, our total cash, hand deposits and held-to-maturity investment balance was US$392.4 million; representing a 16.5% increase from the previous quarter’s 329.2 million.  We reported an operating cash flow of US$52.5 million for the quarter, representing a 56% increase from the previous quarter’s 30.8 million. We reported an US$790,000 in exchange laws which resulted from the translation of our net monetary assets and liabilities, which are denominated in currency other than RMB as of the end of September. I will now turn the call back to Michael for his closing remarks.
Michael Tong: Thank you Denny.  I would now like to take you through our financial guidance for the fourth quarter of year 2005.  Please note that the following outlook statements are based on current expectations.  These statements are forward-looking and actual results may differ materially. We expect that the total gross revenues of the Company in the fourth quarter this year to be between US$56.9 million and US$58.3 million, with Online Game Services revenue to increase by 2% to 4% quarter-over-quarter; Advertising Services revenue to decrease by 11% to 8% quarter-over-quarter, and Wireless Value Added Services and Others revenue to be flat to a decrease of 10% quarter-over-quarter. Net profit we expect to continue to increase during the fourth quarter to be between 31.4 million to 32.6 million.  All of the result figures are based on an exchange rate of US$1 to 8.092 RMB as of September 30, 2005. Let me conclude by saying that to date, NetEase has sustained an extremely high growth rate and record success of our, in the industry.  Maintaining our leadership position in China’s internet market as the number one online game developer and one of the leading internet portals takes a strong, steady, and conservative approach to how we drive growth within the company.  We are very focused on our growth for 2006 and view the fourth quarter as a transitional period such, we will actually allows us to execute on our Online Game strategy, while maintaining a focus and diversified approach to our Online Advertising business. We believe we have the right strategy, resources and pipeline to deliver on our initiatives for 2006.  And maintain our costs to diversify our game platform further use of cutting-edge self developed on technology.  And leverage our internet portal asset base to drive new growth from the market. I will now be happy to take your questions.  Operator, please open the floor to Q&A.